Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Quebecor Incorporated Financial Results for the 2020 Second Quarter Conference Call. I would like to introduce Hugues Simard, Chief Financial Officer of Quebecor Incorporated. Please go ahead.
Hugues Simard: Ladies and gentlemen, welcome to this Quebecor conference call. My name is Hugues Simard, and as he said, I'm the Chief Financial Officer. And joining me today to discuss our financial and operating results for the second quarter of 2020 are Pierre Karl Péladeau, our President and Chief Executive Officer; Jean-François Pruneau, President and CEO of Videotron; and France Lauzière President and CEO of TVA Group. You will be able to listen to this conference call on tape until November 6, 2020 by dialing 877-293-8133, conference access code 48006#, and playback access code 48006# again. This information is also available on Quebecor's website at www.quebecor.com. I also want to inform you that certain statements made on the call today maybe considered forward-looking and we would refer you to the risk factors outlined in today's press release and reports filed by the corporation with regulatory authorities. Let's now move on to our first speaker, Mr. Pierre Karl Péladeau.
Pierre Karl Péladeau: Merci, Hugues, and good morning, everyone. So, as the world continues to battle the coronavirus in our Québec market, we're still significantly impacted throughout this second quarter. Quebecor maintained its focus on keeping its employees safe and generally working from home as well as keeping the Québec population connected, informed and entertained while these unfortunate circumstances persist. With respect to our second quarter results, we're very pleased in an environment of pressured revenues in Telecom and of falling advertising revenue in Media to have increased our EBITDA by almost 5% and our cash flows from operations by more than $51 million or 19% compared to the second quarter last year. The performance and resilience of our Telecom operations were particularly impressive with the best results in Canada on many fronts. In wireless, Videotron added 35,000 new RGUs in the quarter, the best performance in our territory by far and captured its highest market share of gross adds ever with our two brands ranking first and second in our market. I am particularly pleased with the performance of our Fizz brand, which reached new heights both in wireless and Internet more than ever fulfilling consumers' needs for flexible packages at reasonable prices with the added flexibility of our unique 100% digital applications. New innovative products and services like Fizz have created a healthy competitive environment with lasting benefits for the Québec consumers, including rates amongst the lowest across Canada. In broadband, Videotron also outperformed all its competitors with our new IPTV platform Helix, maintained its impressive growth, reaching more than 350,000 RGUs already despite the generally quiet environment over the past month due to the pandemic. I would also like to highlight the strength and adaptability of our networks, which certainly sustained the significant traffic increases and shift paused by the health crisis, thanks to the massive investments made over the years. I sincerely hope the Federal Cabinet will keep these consideration in mind in its upcoming decision on our appeal regarding the TPIA tariff ruling, and I hope the CRTC will also in its decisions regarding the MVNOs expected this year. We have said it many times, but I will repeat it. Strong facility-based competition is the only way to secure lasting benefits for Canadian consumers. Turning to Media, our results were expectedly impacted by the COVID-19 health crisis during the second quarter, with an important drop in advertising revenues, the cancellation or postponement of many sports events and the suspension of most of our content-production activities. That being said, we increased our market share of the overall viewership by close to two points to reach 42.3%, propelled by LCN, which rose to a record 10.6%, ever more than the watched specialty channel in Québec. At TVA Sports, hockey is finally back, the most welcomed change for our Québec viewers, who have been particularly starved over the past months. Speaking of TVA Sports I would like to comment on the CRTC decisions last night in respect of Bell non-compliance to its December 2019 ruling that Bell had confirmed an undue preference to RDS at the disadvantage of TVA Sports. Although we're pleased with the CRTC confirming that Bell new proposed packaging structure did not comply with its decision, it is outrageous that Bell once again blatantly try to continue to favor its own sports channel to the detriment of TVA Sports. This decision confirms that we are right to claim damages before the superior court of Québec in the amount of $20 million for fees that should have been paid if no undue preference would have been given in itself by Bell. To be honest, it is said that we have to turn to the courts once again to have our rights protected, like in 2014, when Bell was ordered to pay us more than $140 million. While on the topic of TV regulation, I cannot be silent about the CBC/Radio-Canada Hot Seat competitive behavior during the health crisis, especially with respect to advertising revenues where it was clearly predatory. It is high time for the government and the CRTC to clarify and for all the public broadcasters' mandate, which should be complementary to the private sector, not unfairly competing against them. Finally, turning to our Sports and Entertainment operations, we are happy to close the acquisition of Théâtre Capitole in Québec City, one of the most prestigious heritage venues in the capital city and a perfect addition to our growing stable of cultural and event locations throughout the province of Québec. In addition despite being particularly shut down by the cancellation or postponement of essentially all events during the quarter we're especially proud to our QUB musique app presented by Videotron initiative an innovative series of 100 concerts in five cities based on the driving concept, which brought together 39 artists and close to 30000 spectators a tribute to our creativity during difficult times for the music and entertainment industry. I will now let Hugues review our consolidated financial results. Hugues?
Hugues Simard: Merci Pierre Karl. Quebecor's revenues were down 5% in the quarter to $1 billion. Revenues from our Telecom segment grew 2% to $869 million. Quebecor's EBITDA was up 5% to $476 million. Our Telecom segment recorded EBITDA growth of 3% to $464 million while our Media segment recorded an EBITDA of $8 million a $2 million increase. We reported a net income attributable to shareholders of $175 million in the quarter or $0.69 per share compared to $140 million or $0.55 per share reported in the same quarter last year. In addition to the EBITDA improvement this increase is also explained by the additional gain of $32.5 million on the sale of 4Degrees which was recorded this quarter. Adjusted income from continuing operations excluding unusual items and gains or losses on valuation of financial instruments came in at $145 million or $0.57 per share compared to $136 million or $0.53 per share reported in the same quarter last year. This 6% increase reflects the improvement in our operating profitability. For the first six months of the year, revenues were down 1% to $2.06 billion and EBITDA was up 4% to $912 million. Adjusted income from continuing operations excluding as usual all the unusual items and gains or losses on valuation of financial instruments for the first half of 2020 came in at $256 million or $1.01 per share compared to $248 million or $0.97 per share reported last year. Our cash flow from operations for the second quarter of 2020 increased by $51 million or 19% to $326 million once again demonstrating the resilience and strength of Quebecor's business model as well as our discipline and operating excellence. As of the end of the quarter our net debt to EBITDA ratio was 2.7 times, down from 3.2 times reported as of the end of the second quarter last year a level that is lower than all of our national competitors. Available liquidity of $1.8 billion as of the end of the quarter and our growing free cash flows are more than sufficient to fulfill our commitments and continue to fuel our growth. During the first six months of the year, we purchased and canceled 3.1 million Class B shares. Since we initiated our NCIB program nine years ago, approximately 37.3 million Class B shares have been purchased and canceled. Please note that the Board of Directors upon the termination of the August 2019 program has approved the renewal of the program for an additional year starting in August of this year. I will now let Jean-François review our Telecom segment operations.
Jean-François Pruneau: Thanks Hugues. Good morning everyone. So, once again this quarter, the health and safety of our employees continue to be the focal point of our priorities. We also spared no efforts and missed no opportunity to serve and assist the Québec population and staying connected with their families friends and work colleagues. We therefore maintain customer-centric measures for the entire quarter such as lifting data caps for home and business Internet plans as well as wireless roaming fees for our customers outside of Canada. While our commercial activities have resumed in all of our retail stores, we introduced additional measures to protect our employees and customers who visit our locations. We were clearly the first operator out of the gate thereby allowing us to bring back most of our employees that were temporarily laid off. We have not only taken all sanitary precautions to keep our customers and employees safe, but we adopted agile and innovative marketing efforts and strategies to meet our customers' needs following the confinement period. As a result, we witnessed a very strong performance in June, both in terms of gross adds and service contract renewals, our best monthly performance in the last four years, and confirming the readiness and effectiveness of our operating decisions and marketing strategies. Not anecdotally, we have been awarded Québec's Most Admired Telecommunication Company for 15th consecutive year according to The 2020 Reputation Study performed by Leger. The vast majority of our employees including our customer care agents are still working from home but assuring the same standards of excellence for our customers. And when possible, our technicians continue to assist our customers remotely through video chat. The recent pandemic has highlighted the importance of a robust network. We are very pleased with that an increasing number of customers are able to rely on the significant capacity of our network and that our customers realized, while staying home the superior class of our Helix platform technology. Over the past few weeks, we have witnessed unparalleled subscription to Helix as the awareness for the product continues to improve. This quarter also marks a regional expansion for us. We are now serving with our Helix platform the Abitibi region as well as residents in Northwestern Québec. Finally, putting an end to the existing regional monopoly and residents of Rouyn-Noranda, Val-d'Or, Amos, and surroundings can now benefit from the best technology, the best customer experience, as well as more competitive prices. Turning to our second quarter results, we are pleased to report a 2% growth in revenues and a quite solid 3% growth in EBITDA. Our performance in wireless services continued to be strong despite the closing of our retail stores for more than half of the quarter as well as impacts resulting from our customer-caring initiatives. As of June 30th, we powered almost 1.405 million mobile lines fueled by a growth of 35,000 lines during the quarter and a growth of 173,000 lines on a year-over-year basis. We reported service revenue growth of 9% in the quarter driven mainly by solid subscriber growth while impacted by the loss of 100% of overage and roaming revenues. At 36% in the quarter, we posted our best ever performance in terms of market share of gross adds. But more interestingly, our two brands ranked respectively first and second amongst all the brands available in our territory. Consolidated wireless ABPU decreased to $50.32 from $52.56 recorded in the second quarter of last year, again, explained by our increasing BYOD and Fizz customer mix and further impacted by the loss of overage and roaming revenues, which explains approximately 75% of the ABPU decline. Once again, Videotron mobile and Fizz exhibited respective year-over-year ABPU growth. Finally, our monthly churn rate decreased by 50 basis points year-over-year. As for our wireline services, we also witnessed significantly lower churn resulting from slow market activity due to the confinement and a slower moving season. The robustness and reliability of our network and the superiority of our Helix technology are for sure no strangers to this performance. Late in the quarter, we resumed customer migrations to our Helix platform and we are pleased with the increasing interest for the product. At the end of the quarter, we had nearly 290,000 video and broadband RGUs to the platform. During the quarter, we recorded growth of 17,000 broadband customers compared to a decline of 4,000 in the same quarter of last year and a growth of 46,000 customers over the last 12 months. Fizz' value proposal now contributes more significantly to our overall sub adds, however, somehow eroding our ARPU growth. Broadband ARPU growth was also impacted by the lifting of data caps and the resulting loss of overage revenues. Overall, we recorded a decline of 15,000 customers in video services during the quarter, 9,000 lower than the decline exhibited last year. As of the end of the quarter 472,000 customers subscribed to Club illico, our OTT video service, representing a 41,000 growth over the last 12 months. Our service set a new monthly record in April with 13 million viewings. On the financial front, consolidated revenues amounted to $869 million in the second quarter, up 2% compared to the $854 million recorded in the same quarter of 2019. Revenue growth in wireless and from our lower-margin Helix equipment contributed to this growth. Our revenue growth was, however, impacted by our customer-caring initiatives. For the first six months of 2020m revenue grew 3% to $1.7 billion. EBITDA amounted to $464 million in the quarter for a year-over-year growth of 3%. Bad debt expense increased $3 million in the quarter and we posted a $4 million unfavorable variance in the non-recurring items account. For the first six months of the year, EBITDA grew 3% to $899 million. We continue to focus our efforts on cash flow generation and cost containment as well as leveraging all operational efficiencies without compromising on customer experience. For the quarter, we generated $323 million in cash flow from operations, $41 million higher than last year favored by our strong focus on flexing overhead costs down and our rigorous management of CapEx. For the first six months, we generated $625 million in cash flow for a growth of $55 million. Capital expenditures including acquisitions of intangible assets amounted to $141 million in the second quarter, $27 million lower than last year and in line with the low end of our guidance for the year. The rollout of our 5G technology progresses well despite some delays expected from the pandemic situation and wireless CapEx were stable year-over-year. I will now turn it over to France to review TVA Group's performance.
France Lauzière : Merci, Jean-François. Bonjour à tous. As expected, the COVID-19 pandemic had major impacts on our second quarter operations. In addition to falling ad revenues and the cancellation of the many sports events on TVA Sports, we also had to cut back many of our operations to comply with government directives, and suspend most of our content-production activities. Turning to our second quarter financial results. TVA Group recorded operating revenues in the amount of $104 million, a year-over-year decrease of $42 million. Broadcasting revenues decreased by 26% essentially due to a 36% decrease in TVA Network's advertising revenues as a result of the pandemic, a 91% decrease in TVA Sports' advertising revenue as a result of the significant reduction in sporting events broadcast by the channel, including the postponement of the NHL playoffs, and a 28% decrease in commercial production revenues due to lower volume of activity. We did well on the ratings front, however, with our overall viewership market share reaching 42.3%, up 1.8 points from the same period of 2019. TVA Network grew its share by 0.2 points, while the specialty channel's share increased 1.6 points as a result of strong 5.1 points growth at LCN, which rose to a record 10.6%. As the numbers show, Quebecor's turned to our news platform to keep them well-informed. We also managed to continue purchasing original content to entertain our audiences. For example, we are very proud of the television event Une chance qu'on s'a, which may contribute to Quebecor's efforts to fight COVID-19. With more than two million viewers, the show was the top-rated television program in Québec during the second quarter of 2020. MELS revenues decreased 48% due to the suspension of film shoots, because by the current health crisis in a lower level of activity in post production. Those negative variances were partially offset by a 37% increase in dubbing and described video revenues due in part to new CRTC license conditions for described video. Magazine publishing revenues declined 35% mainly due of course to the COVID-19 situation which led to fewer issues of some title and also to the discontinuation of the publication of Elle Canada and Elle Québec magazine. Production and distribution segment revenues decreased 18% due to timing difference to the distribution of film produced by Incendo.  TVA Group's EBITDA reached $7.4 million for the second quarter an increase of $3.6 million compared to the same quarter last year. Overall, the increase in TVA Group's EBITDA comes from the Broadcasting segment and more specifically from the improvement in negative adjustment EBITDA for TVA Sports whose costs reflect a significant reduction in the sports event broadcast by the channel including postponement of the NHL playoffs to the third quarter. This contributed to the positive EBITDA of $3.5 million for this segment a positive variance of $5.1 million compared to last year.  MELS segment posted EBITDA of $0.5 million, $1.3 million lower than last year. The magazine segment recorded EBITDA of $2.9 million down by $0.3 million while the production and distribution segment made a positive EBITDA contribution of $0.4 million a slight increase compared to last year. Cash flow from operations was $5 million for the second quarter an improvement of $3 million over last year due to EBITDA growth.  Back to you Pierre Karl for the conclusion.
Pierre Karl Péladeau: Merci, France. So in conclusion, we're very pleased with our operating and financial results for the second quarter despite the lasting effect of COVID-19 crisis. Difficult circumstances always bring the best to the top and our performance speaks for itself, with increasing cash flow, a leverage ratio which at 2.7 times is lower than all of our national competitors and with $1.8 billion in available liquidity. Our financial position is solid and keeps improving.  Looking forward, we will maintain our efforts and our focus to ensure that our employees remain safe and healthy and that our client our partners and the Québec population remain well connected through superior networks informed with the most professional news and sports coverage and entertained with the highest level of content producing quality and event production.  I, thank you, for your attention. And operator, please open the line for questions.
Operator: [Operator Instructions] So our first question will come from Maher Yaghi of Desjardins. Please go ahead.
Maher Yaghi: Yes. Thank you for taking my question. I wanted to ask you Jean-François, the 3% decline in sequential year-on-year pricing, how much of that you contribute -- is contributed or due to COVID let's say issues versus pricing that was not increased in time to contribute...
Jean-François Pruneau : For which? For which...
Maher Yaghi: For Internet and TV.
Jean-François Pruneau : For broadband. Yes, for broadband. Well for broadband well two things I would say. First of all as you recall, we said on the previous call that we haven't jacked up our prices this year which was the first year for a very, very long time with -- in which we have not increased our prices. So obviously, it has an impact. But out of the 3% to be more precise on your question approximately half is coming from overage fees that we obviously have not charged because we have lifted our -- the data caps on broadband for both business and residential. So that's -- half of it is coming from pandemic the other half is really coming mostly from the absence of price increases this year.
Maher Yaghi: Okay. Great. Thank you for that. And I wanted to just ask you on wireless. I mean very good loading on wireless. I was just wondering how would you and what would you say the help came in in the quarter. Was it more geared towards your lower end brand versus Fizz versus the Videotron? How did they perform versus last quarter or the quarter before that?
Jean-François Pruneau : Well, obviously, it would be contrary to our standard to disclose some numbers on a separate basis on a stand-alone basis for both brands. That because the way that we market those two services are very complementary. So that's not an exercise that I'm going to do or make this time around. That being said I really think that being the first out of the gate with opening our retail stores, we were getting prepared for opening the retail stores and we were definitely the first one out of the gate. So it's obviously helped. But on top of that when you think about the pandemic and people wanting to avoid any contact with other persons obviously Fizz that's the business model of Fizz the no-contact business model. It's all -- everything is digital. And it obviously attracted a lot of people to subscribe to wireless through Fizz. So I would say that those are the two main reason why we've performed that well in Q2 and specifically in June.
Maher Yaghi: Okay. And do you have some kind of market share on loading or net loading in Québec that you can share with us? You've said about that in the past. Maybe you can help?
Jean-François Pruneau : Yes. We -- it's a record quarter from us in terms of share of sub loading. So it's 36% when you combine the two brands. 36% of subs loading were coming to us through either Fizz or Videotron mobile.
Maher Yaghi: Okay. Great. Well my last question is on -- with the branded, the incumbents have moved significantly or most of their offerings to EIP. How would you evaluate the market going into the back-to-school period? Do you suspect that they'll revert to subsidizing to win share? And how would you say the market is currently from a pricing and competitive point of view?
Jean-François Pruneau : Yes. Well first of all in terms of our business model, as you know our business model is skewed toward BYOD. So EIP for us is not that big of an issue, when you look at who we are targeting in terms of subscribers. With Fizz, BYOD and Videotron the last quarter more than 2/3 -- in fact 70% of our sub loading was BYOD. So it's not that big of an issue I would say, at least for now for us. That being said, I think that if the ultimate benefit of the EIP model in the industry is that subsidies will go down even if we don't change our model I think that we are going to be able as well to reduce the amount of subsidies that we're providing to our customers. So -- but so far I don't think that we have to change our business model.  That being said to specifically answer your question about the current environment; I have to say that, I feel some sort of panic from our competitors. Our Q2 results were very, very good. But I can tell you that starting off in July prices are very, very, very aggressive from our competitors. And it's not the way that we have won our customers in Q2 being very aggressive in terms of pricing. We've won those customers because of our marketing strategies and the Fizz business model, it is different. So I have to characterize the current environment as being very, very aggressive.
Maher Yaghi: Thank you very much.
Operator: Thank you. Our next question comes from Jeff Fan of Scotiabank. Please go ahead.
Jeff Fan: Thank you. Good morning everyone. I guess the first question is just on the wireless ARPU impact from overage and roaming. Did I hear you correctly that 75% of the decline was related to these two factors? And if that's the case, it looks like your ABPU decline actually improved a little bit from the prior quarter. And I'm wondering, if you're starting to see that inflection point on the impact of mix from BYOD or Fizz starting to turn around going the other way.
Jean-François Pruneau: Yes. Yes the answer to the question is yes. 3/4 of the decline so 4 point-ish percent decline in terms of ABPU and ARPU on mobile. So 3/4 of that decline is coming from the absence of overage and roaming revenues. So that's true that if you exclude that. the decline is getting lower compared to previous quarters. So obviously, we are cycling now more of our customers to BYOD. More of our customer base is now BYOD. So obviously we expect that this decline will be reduced over time. And at some point because on a stand-alone basis when you look at Fizz and when you look at Videotron mobile. on a year-over-year basis ARPU is growing and down ARPU is growing. We feel very confident that once we have cycled through the BYOD customer base that it's going to start growing. But you're right to mention that the decline has been reduced over the quarter compared to previous quarters.
Jeff Fan: Okay. That's great to know. Follow-up on is more specifically about the operating leverage that you're getting from Fizz and the business that you're getting from Fizz. How do you feel about that? Like it just feels like that you're getting some scale now on that platform being an all-digital platform. I know you don't talk about the cost per loading or anything like that but it just feels like the flow-through of your wireless revenue from that platform or from the business overall is really flowing through to EBITDA. I wonder if you can just comment on that and where that upside could be in terms of margins for wireless? And then finally just perhaps a question for Pierre Karl, on-- you talked about where the leverage is for the company. It's in great shape and you're generating very good free cash flow. You passed on Cirque du Soleil. I'm just wondering, if there are any other potential areas that you think might fit within Quebecor as you look beyond outside of the company on the M&A front? Thanks.
Jean-François Pruneau: All right. Yes I'll start. And I'll start with a -- the operating model of Fizz and the operational leverage that we see with that business model. It's tremendous. Let's qualify it as being tremendous -- the operational leverage. It's a digital-only business model, so we have no customer care except for digital customer care. We have everything in place to avoid the major cost that we have to incur in a standard telecom business model. So obviously that gives us a lot of operating leverage. And when you combine that with marketing our marketing is 100% digital -- mostly 100% digital, not 100% but mostly 100% digital. So we are able to have a better targeting of our customers. We use social media. So that allows us to reduce the cost of acquisition essentially for -- to acquire customers. So you're right to mention that the operational leverage is tremendous. And the margin -- if I was to qualify characterize the margins for the second quarter, we're talking about 50% margin. So it's essentially in line with our other Videotron mobile business with much lower subscribers. So it's -- I think there's still some room to grow here.
Pierre Karl Péladeau: Good. You're finished JF yes?
Jean-François Pruneau: Yes. Yes. Yes. Go ahead.
Pierre Karl Péladeau: Good. Okay good. Okay. So the first question regarding Cirque du Soleil well, I would introduce the different comments this way by saying that, we will and we were in the past and always realistic and disciplined. You will remember that in 2000 when we acquired Videotron leverage was very high. And we said 20 years ago that we will be disciplined, we will reduce our debt level and we will increase our EBITDA. And this is what basically we delivered for the last 20 years, despite the fact that we had certain conditions that were not always favorable despite the fact that we had a 45% shareholder which was the case which we know -- we knew that we would be forced or obliged to buy which as you know was made few years ago already. So back to Cirque du Soleil, we're considering this as a possible opportunity to grow our business. As you know, we've been growing significantly in the past through acquisitions. We stopped for a while, because we were considering that we would focus on our operation. We did a small transaction in the cable business north of Québec, which was accepted by the CRTC. But nothing especially -- it doesn't mean that, we're not working on different files. But as of today, we were not able to deliver something that will be regarding our criteria of discipline. So on Cirque du Soleil we were considering this would consider being an opportunity through growing our EBITDA. That was also considering that, we have some expertise regarding our possibility to include some aspects of convergence in it and growing our businesses internationally. As of today, as you probably know because of the process was basically moving in the direction of the virtual owners which are the creditors, we decided that we will not be part of the process anymore. We still consider ourselves, as being an interesting partner for the creditors, who I think will be at the end of the day, being the ultimate owner of Le Sac. And we're figuring out if we can do a partnership with them, in the upcoming months or years, regarding the desires to have an experienced partner. So this is basically what I'm saying. And we will continue to look at opportunities. But always keeping in mind that, if we were where we are today, is that because we've been disciplined. And we will continue to be disciplined.
Jeff Fan: Thanks everyone for the answer.
Operator: Okay. Thank you. So our next question now comes from Vince Valentini of TD Securities. Please go ahead.
Vince Valentini: Yeah. Thanks very much. First off, we've heard from some others that there were subscriber provisions taken in the second quarter for people who hadn't been disconnected. But they hadn't been paying normally. And they normally would have been churn, but companies are taking reserves, against those subscribers. Can you clarify, if there's any of that in your wireless or Internet numbers this quarter?
Jean-François Pruneau: We have -- well a few things I would mention. First of all, when we look at our collection of receivables on the residential side, our statistics are even better than they were last year at the same time. So in terms of bad debt on the residential side of the business, I'm not that worried at all. And here and there we're going to have disconnects, because they're not paying. But nothing that I assume will be material in the future. So in terms of residential broadband or mobile or whatever, except for what we have actually disconnected, there is no provision that has been made in the subscriber basis. That being said, on the business-to-business side, most of the increase in bad debt provision is coming essentially from tougher stats I would say, on the B2B side. And we monitor it or this very, very closely. So far things are improving, with respect to collection of receivables. It's not perfect. I wouldn't say that, it's better than it was last year, as it is on the residential side. But things are improving and going on the right -- in the right direction. But we have taken a bad debt provision of $3 million. And there was no provision made with respect to customers that we will have or we could have to disconnect in the future.
Vince Valentini: Thanks for the clarification JF. Another clarification for you is the seasonality we normally see at the end of June with the rental market rolling over. Did that not happen this year, because people didn't want to move? So that means your gross adds on Internet and video may not be as strong as they normally are in the first week or two of July?
Jean-François Pruneau: That's a fair assumption, Vince. Indeed, we feel that the moving season was not, as acute as it was in the past, as busy as it was in the past. So I assume that indeed in Q3, we will not see the same kind of bounce back that we usually see, because the moving season was not as busy this year.
Vince Valentini: Great. And one last one just the TVA Sports commentary earlier, can I clarify a couple of things? The $20 million lawsuit, would that be a TVA lawsuit or Quebecor lawsuit? And does that just relate to retroactive fees that you want to get back? Is there also an element here of the CRTC decision, meaning that going forward, TVA Sports will be able to start to accrue a higher subscription fee right away?
Pierre Karl Péladeau: May I, France?
France Lauzièreb: Yeah.
Pierre Karl Péladeau: Yeah. It's a TVA Sports claim, against Bell, as a distributor. And you should also consider all this, regarding different arguments that we've been having for TVA specialty channel against Bell distribution, as also unfortunately some -- do its own discussions that have with Bell Media specialty channel. We've been seeing those channels' rating going down for most of them for the last five years, even more than that, where the opposite was taking place where most of our specialty channels at TVA was gaining ratings. And we consider that this should be also illustrate with the tariff that specialty channels will receive from distributor and the distributors will pay for specialty channels. We've been able to have agreements with all our other distributors, regarding the tariffs that we were considering fair and equitable for TVA Sports. And guess what, the only company that we were not able to have for the same tariff was Bell Fibe or Bell distribution. This is why we're in front of the court, this is why we're in front of the CRTC and this is why we consider that we should be paid fairly regarding the fair market value of the content that we distribute through the different distributors.
Vince Valentini: Thank you.
Operator: Okay. Thank you. And our next question comes from David McFadgen of Cormark. Please go ahead.
David McFadgen: Yes, a couple of questions. Can you give us an idea of what the wireless EBITDA growth was in the quarter? And then, secondly, for Pierre Karl, like, when will the CRTC ever enforce this decision in favor of TVA Sports? What's going to take? It’s been going on for so long.
Jean-François Pruneau: I'll start by saying close to 30%. Pierre Karl, you can go with the second question.
Pierre Karl Péladeau: Yes. You're right, David, to mention it. We received the decision yesterday. We have some time also to look at it regarding the different wherewithals of it. We hope that again, this would make Bell management more reasonable, more rational regarding what we consider being a legitimate claim, again, when we know that the other distributors were ready to pay it, because the quality of our content has been always there and it's shown by the ratings. If you don't have good content, the ratings will not show up. And we have strong evidence to be able to convince the CRTC of this. For sure, the actual pandemic environment was not certainly the most favorable one to have quick decision taken by the CRTC. Sometime we consider that the volume takes too much time. And sometimes also we consider that they're taking decisions where they don't have the proper jurisdiction to do so. But we need to live around all those circumstances. And this is why we're resilient and we will continue to fight for our rights, because at the end of the day, this is shareholders' money and we are working and paid by the shareholders to make sure that they will have their proper assessment of what the assets of these companies are all about.
David McFadgen: Okay. If I can just do a follow-up, maybe for Hugues. Like, your leverage keeps going down. You're generating a lot of free cash flow. Probably in a year from now you're going to be in the low 2 range. Have you ever thought about doing a substantial issuer bid to buy back a lot of stock and all the cash flow?
Hugues Simard: No. We do not intend to do an SIB and we -- as you probably know, I think, it was in the press release, we will continue our regular NCIB. I don't know, if you have a few other things to say, but at this stage there’s not going to be any SIB.
Jean-François Pruneau: Yes. No, I think, that's the answer. We will continue with the NCIB. As we said it's been -- it will be prolonged for another year, starting August 14 and then we'll go from there. But no NCIB on the horizon, no.
David McFadgen: Okay. Thank you.
Pierre Karl Péladeau: So, I guess, we don't have any other questions. So I would like to thank you for attending in the middle of the summer, this conference call, and we look forward to see you and to talk to you on the third quarter around November. Thank you very much and have a nice day.
Operator: Ladies and gentlemen, this concludes the Quebecor Inc. Financial Results for the Second Quarter 2020 Conference Call. Thank you for your participation and have a nice day.